Operator: Ladies and gentlemen, thank you for standing by. I am Gaily, your Chorus call operator. Welcome, and thank you for joining the Turkcell's conference call to present and discuss the First Quarter 2020 Financial Results.At this time, I would like to turn the conference over to Mr. Korhan Bilek, Treasury and Capital Markets Director. Please, Mr. Bilek, you may now proceed.
Korhan Bilek: Thank you, Gaily. Hello, everyone. Welcome to Turkcell's First Quarter 2020 Results Call. Today's speakers are our CEO, Mr. Murat Erkan; and our CFO, Mr. Osman Yilmaz. We have a brief presentation and afterwards, we will be taking your questions. Before we start, I would like to kindly remind you to review the last page of this presentation for our Safe Harbor statement.Now I hand over to Mr. Erkan.
Murat Erkan: Good afternoon, and good evening, everyone. Welcome to Turkcell's first quarter 2020 results call. We have ended tough quarter with several consecutive challenges. Starting the year with unfortunate natural disaster, we began to feel the impact of the COVID-19 pandemic in March in Turkey. The first case in Turkey was identified on March 10, after which things changed rapidly, both our company and in our lives. We responded immediately to protect and support our employee, customer, our distribution channel and those communities in need. I will talk about the impact of COVID-19 later in the presentation.For now, I would like to point out its impact were limited to just two weeks in our first quarter results. With that, I am pleased to deliver a strong start to 2020 in line with our plans. Our outstanding operational performance in the home market played a large role in these results. We gain a total of 614,000 net subscriber, reaching a large part of our annual target of 1 million.Strong ARPU growth continue both in the Mobile and Residential Fiber segment. Accordingly, we generate 17.3% revenue growth, our EBITDA grew by 23.1%, leading to 42.2% EBITDA margin. These results were in line with our guidance announced earlier this year.Next slide. Now some further detail on our financial performance. We recorded TRY6.7 billion top line and TRY2.8 billion EBITDA in first quarter. Our EBITDA margin improved by 2 percentage point year-on-year. Our EBIT reached TRY1.4 billion with a 21.6% margin.Net income was at TRY873 million. Last year in the first quarter there was a Fintur transaction gain of TRY772 million. Excluding this, our net income nearly doubled this year.Next slide. Let's have a look at our operational performance. We gained TRY679,000 net postpaid subscribers. With this the postpaid share in total mobile subscriber reached 63%. This quarter, we discontinued 289,000 subscriber without [indiscernible] as regulation demand. This negatively impacted our prepaid net adds.Yet all factors include the gain net 566,000 quarterly mobile subscribers. Together with the IPTV and fixed segment, the 614,000 net subscriber gains represent 61% of annual target. Firstly, gaining new subscribers early in the year benefits to full-year effect of revenue. And secondly, with the bulk of the target reach in Q1, we are confident of meeting our full-year target of 1 million, despite COVID-19 related uncertainty.The monthly mobile churn rate excluding the impact of regulatory change was down to 1.7 percentage from 1.8% last year, up from 2.1% in the previous quarter. Blended mobile ARPU rose TRY46.3 and 21.1% increase with the change in subscriber mix towards postpaid and up-sell to higher tariffs with increased data usage.Prepaid ARPU also saw a double-digit rise in this quarter, twice the rate of the fourth quarter in the fixed broadband segment. Our fiber subscriber base grew by 34,000 net additions. Residential fiber ARPU grew -- growth was at 13.4%. The price increase in the first quarter last year led to base effect in the growth figure. Going forward, we expect ARPU growth rates to convert to inflation.Next slide. I should mention a few more points about our rising postpaid base. Our value focus has resulted in continued growth of the post postpaid subscriber base. Historically, the first quarter is usually weak due to seasonality. Even so, we gave a solid performance with 679,000 net postpaid additions. This results from consistent customer focus since early last year, utilizing a micro segmented approach by leveraging our analytical capabilities.We strengthened our market position by shifting to a more valuable portfolio of higher postpaid subscriber in the total base. The postpaid share rose 7.8 percentage point year-on-year to 63%. Having a strong postpaid base has become more important in this pressured macroeconomic environment. Postpaid subscription is more open to up-sell opportunities and less risky in the challenging periods.Moving to next slide. Now let's look at the performance of our fixed wireless access product, Superbox. Superbox remained the sole home internet alternative to fiber. Where there is no fiber, Superbox subscriber enjoy the fiber like speed delivered over our mobile network. As such, we recorded 76,000 net adds this quarter, over 3x that of the first quarter last year.Total Superbox subscriber reach 400,000. We have seen accelerated demand for Superbox lately as people stay-at-home under pandemic conditions. We are confident of meeting churn level of demand, both in terms of supply and network capacity.Next slide. As to our performance in strategic focus areas, we continue to advance our digital services with new features and large news services. One of those is Turkcell Digital Security Service, which provides individual security well online. We also introduced various campaign, including live [indiscernible], zero rated video calls and informative channel on bid to support our customers staying at home.Overall, digital service standalone revenue growth was 29% year-on-year. This resulted from our focus on standalone subscribers, reflecting our plan laid on during the Capital Market Day in November 2019. Our digital business solution registered solid quarterly growth of 42%. Digital business solution has been focused on delivering seamless service to the corporate segment with our strong infrastructure and advanced services solutions.At the same time, we have secured nearly 700 new projects in this field during the quarter. Given the changing business dynamics, we expect that the demand for digital solution, particularly our cloud and data security solution to accelerate going forward. In Techfin, Paycell registered its all-time high yield transaction volume growth of 146% in March. The limitation of mobile and concurrent rise in digital content consumption was instrumental in this rise. Going forward, we expect the demand for Paycell to increase as user habits change.Next slide. And now an update on data usage and for on a healthy subscription trend. Average mobile data usage rose 63 -- 66% in a year to 9.8 gigabyte per user. This is the highest growth level of the past 10 quarters. The rise in data consumption was due mainly to higher content consumption in the current environment. The growing share of 4.5G user and Superbox subscribers.In March, the monthly data usage of 4.5G users has reached 13 gigabyte. Out of 31.4 million customers signed up for 4.5G services. 20.4 million have 4.5G compatible smartphones, still indicating room for growth. In the first quarter, we achieved 78% person smartphone penetration with 89% being 4.5G compatible. There were 1.9 million net addition of 4.5G compatible smartphones on a yearly basis.Moving to next slide. We are in a period in which the vital importance of our sector is clear from experience. Moreover, experience has taught us that quality plays a differentiating role during a challenging times such as pandemic and other natural disasters. At Turkcell, we reap the fruits of consistent investment in our infrastructure over many years, having pioneered the digitalization of the sector.Our network capacity and quality boosted our confidence to offer more to our subscribers. Furthermore, an extensive distribution channel and our readiness in online sales channel, has helped bring us ever closer to our customers. All these have been instrumental in customers recommending Turkcell over the competition, even more so in the challenging times.Next slide. Let's look at our performance in the international market, generating 8% of group revenue. Our international pressure grew by 21.7% year-on-year to TRY560 million. This was mainly on rising data usage in these countries and the positive impact of currency movements. In local currency terms, the top line growth rate is -- rest of our Ukrainian and Belarusian subsidiary were 12% and 2%, respectively.This quarter, Lifecell Ukraine acquired a new license in the 900 megahertz bandwidth for UAH121 million. Accordingly, its frequency band rose from 3.8 megahertz to 5.6 megahertz valid for five years. New frequency will be used to provide LTE services to rural regions and highways. Furthermore, our subsidy in the Turkish Republic of Northern Cyprus recorded 14% revenue growth with the rising contribution of fixed services and the corporate segment.Next slide. You may have follow our conference two weeks ago, where we share our initial takes on the impact of the COVID-19. Here is a summary of what we said, quantifying the initial impact and risks determined so far. The COVID-19 pandemics has been disruptive for the entire world in various aspects and at different levels. Right after the first case was identified in Turkey, we witnessed a series of economic and social preventive measures taken swiftly by related government bodies. These measures have considerably impacted our daily lives and forced us to unite against the pandemic.We have been running our operation in Turkey and are -- in India, other markets. With nearly all our of employees, including 100,000 call center agents working from home. Our analysis of last week of March shows that total network traffic rose by 35%, even up to 50 percent in peak hours. Our digital services use has increased with 10 plus more group. 10 plus more group video calls on BiP and 15% higher logins on TV plus.Meanwhile, postpaid customer acquisition were down 35%, whereas fixed broadband subscriptions rose by 52%. We also observe significant improvement in churn levels. On the retail network front, visitor to website and application ramped up by 30%, with a 70% -- 76% higher sales volume.The Digital Business Solutions teams served our customer 25 -- 24/7, meeting their rising demand for our services. Also, we achieved earlier than planned inauguration of City in Ikitelli, Istanbul. [Indiscernible] trends were observed in our international business, which remains more challenging, human is predominant prepaid confidence. Potential risk exists in certain business and segment, including SMEs and for roaming income proliferate top ups and the devices. Risk of disruptions to global supply chain may also emerge depending on the duration of the crisis.Next slide. We have evaluated the risk to the best of our knowledge and calculated the potential impact on our 2020 targets. Accordingly, we would love to share a revised and realistic guidance with you. We have assumed that this challenging period would continue through the second quarter with a gradual normalization thereafter.We now expect revenue growth of 10% to 20% and EBITDA margin of 40% to 42% and EBIT margin of 19% to 21%. We expect the operational CapEx to revenue ratio to be within the range of 17% to 19% as a result of new revenue guidance. Despite currency movement, we aim to keep normal CapEx stable.Despite the challenging environment based on our revised figure, we expect to deliver double-digit top line growth throughout this critical period. As the dust settles, we are confident in our ability to monetize the fast forward digitalization and changes user habits in favor of digital services solution and payment services.Before I give the floor to Osman, I would like to express my gratitude to all those working tirelessly while putting their lives at risk, especially our health workers. May you all stay safe and healthy, Over to you Osman.
Osman Yilmaz: Thank you very much, Murat. Let me start by saying how proud I am to be a part of this dynamic management team. We have swiftly and effectively responded to extraordinary and fast changing conditions. As already mentioned, the COVID-19 pandemic had a limited impact on our first quarter performance. We expect the impact to be felt throughout the second quarter, leaving a headwind.Group, revenues rose 17.3% year-on-year, corresponding to an incremental TRY1 billion per year. Of this increase, TRY900 million comes from Turkcell Turkey operations. This is created by diversified source of revenues, while consumer business contributes close to half of this amount, while fast growth in corporate business and new products, like Superbox were instrumental in this increase.As was the case for several quarters, consumer finance company's contribution was negative given the slowdown in its business. Moreover, termination of our sports betting business Intertek [ph] also creates a drag on growth. Excluding these two, our year-on-year growth is 20.8% in the first quarter.Next slide. Group EBITDA rose 23.1% year-on-year to TRY2.8 billion driven mainly by strong top line growth and disciplined cost controls. EBITDA margin rose 2 percentage points to 42.2%. Turkcell Turkey was the main driver of margin improvement, with its 2.7 percentage point increase. EBIT rose by 30% year-on-year to TRY1.4 billion with a margin of 1.6%.We realized nominal flat G&A expenses and lower sales and marketing expenses versus the first quarter of the last year. The savings in G&A related to personal expenses where we grow our top line with limited headcount increase. Sales and marketing contributes by 1.9 percentage points to EBITDA, 0.6 percentage point comes from marketing and 0.9 percentage point from sales expenses. This was mainly due to [indiscernible] but effective and segment focused campaigns this year.Further, we prioritize the use of digital channels leading to additional savings. Year-on-year increase in the outflow receivables is mainly due to TRY42 million run off impact in Q1 last year, creating a base effect.Next slide. Now, let's take a closer look at our fintech company's performance as First Financel. In Q1, Financel revenues were down 32 -- 33% on a declining portfolio due to regulatory decisions, plus a rise in handset prices. The total loan portfolio fell around 42% year-on-year to TRY2.1 billion into Q1 '20. The COVID-19 pandemic now represents a further challenge for this business. Its EBITDA declined by 7% to TRY102 million, indicating a margin of 62%.Yearly margin improvement of 17.2% point is mainly due to lower cost of funding at lower rates, plus the rising share of equity in total funding. Meanwhile, costs of risk fell to 2.8% from 3.2% in Q4, reflecting our risk management efforts since mid 2019. The potential further decline in this business due to COVID pandemic is positive from a working capital perspective.Next slide. Paycell has been busily tapping to business potential arising from increased demand for cashless payment methods. Total three month active Paycell users numbered 4.6 million, with a total transaction volume of TRY2.5 billion for this quarter. We observed a solid rise in service usage, particularly online payment and direct carrier billing.Direct carrier billing volume was up 69% and with third-party bill payments of 216%. The transaction volume on the Paycell card was TRY53 million, marking a 70% year-on-year rise. The company's analytical strength enabling diversified campaigns using micro-segment marketing has contributed to achieving these growth figures.Paycell has also continued to expand its reach and service portfolio. As at the end of Q1, Paycell is accepted at 9.3000 merchant points. In Q1, Paycell generated TRY64 million revenues with 57% EBITDA -- Paycell EBITDA margin. With a value focus, Paycell concentrated its efforts on non-Turkcell businesses.Accordingly, non-group revenues increased by 82% this quarter, now representing more than half of total revenues. Paycell is well on track to benefiting from permanent changing consumer habits in favor of cashless payment methods.Next slide. Now a few words on our balance sheet and leverage. As at the end of the quarter, our gross debt position declined to TRY19.5 billion from TRY20 billion. The main factor is TRY2.4 billion of debt repayments against the TRY1.6 billion negative impact of currency movements.Recall that dollar appreciated by 10% and the euro appreciated by 9% in Q1. As we do not net off our derivative receivables from debt, our reported debt rises as FX appreciates. As of Q1, net debt was TRY10.3 billion with a 0.9x leverage ratio, down from one-time previous quarter.Excluding the fintech business, this was at 0.8%, the lowest in the sector. In Q1, we had a nominal TRY221 million increase in net debt. This was mainly due to a net of TRY535 million negative FX impact.The first quarter is seasonally a difficult one in terms of working capital as we pay for the relatively high CapEx of previous fourth quarter. Also, the annual frequency tax is paid in February at over TRY400 million this year to be collected from subscribers throughout the year. Hence, our cash generation performance this quarter was very successful.Next slide. As discussed during previous quarterly calls, liquidity management is among the key factors of our business hedging model. From time-to-time, we have been criticized by certain investors for carrying large amounts of liquidity on our balance sheet. Yet this unfortunate crisis period has proven us right, once again.On this slide, I would like to highlight our balance sheet and liquidity strength. Turkcell is among the few companies in Turkey with this key strength. Our average debt maturity is around 5 years and we found working capital requirement through short-term bank loans matching the maturity of our obligations.Our liquidity position offers us a sufficient buffer to sustain our operations with TRY1.4 billion hard currency cash, and TRY1 billion debt service in 3 years, excluding short-term local currency loans and available credit lines from diversified sources. The potential for a further slowdown in the consumer finance business will also mean an additional working capital release.Next slide. Finally, a few words on our FX management. Our balance sheet remains robust, with some US$1.4 billion equivalent cash in hand and for a long position of US$140 million. We continue to hold the bulk of our cash in hard currency as a natural hedging tool.With hedging instruments in place, the share of FX debt has declined from 80% to 40% by the end of Q1. Our disciplined FX risk management has once again helped to protect our bottom line performance during this fragile quarter. Despite close to 10% FX appreciation, we saw the quarter a net FX gain, excluding swap interest leading to a remarkable bottom line figure of TRY873 million.This concludes our presentation. We are now ready to take your questions. Thank you very much.
Operator: The first question is from the line of Kim Ivan with Xtellus Capital. Please go ahead.
Ivan Kim: Yes, good afternoon. Two questions from my side, please. First, on your strong postpaid subscriber base additions, can you talk about how many are coming from other operators, and how many are prepaid customer conversions? And in general, given how strong the postpaid additions over the past couple of quarters, aren't you worried that this can lead to higher price competition from your rivals in the mobile market? That’s the first question. And the second question on free cash generation. It's being strong in the first quarter, as you said, against some adverse seasonality with high frequency payments, for example. [Indiscernible] equity free cash flow in the first quarter was TRY900 million. So I was just wondering what -- do you have a ballpark range number you expect for the year by now, because as you pointed out, too, there will be some more working capital release in the remainder of the year from the unwinding of consumer finance company balance sheet. Thank you.
Murat Erkan: Okay, Ivan. I believe we hardly hear the second part of the question. But let me start with the first part of the question, regarding postpaid and switch between prepaid to postpaid side. As part of our strategy we have been more focused on strengthening our bond with customer over the past years. We realize the return of our efforts each quarter. We are one of the telco companies leveraging the data analytics skills most effectively using big data, and we follow a micro-segmented approach, which enables us to make the right offer to the right customer at the right time. Please also note that we achieved the performance by registering mobile ARPU growth of 21%. Our solid performance confirm our commitment to gain a million subscriber each year. Nearly half of the postpaid net adds in Q1 is switched from the prepaid. So this is -- this reflects the one of two question.Moving prepaid customer to postpaid segment is one of our key goals and is naturally target of to all operators. I must say it's not easy to as it sounds from the technical definition switch. Therefore, there is a notable performance on our front as well. So this was the first part of the question. Let me give you the word to Osman regarding free cash flow and working capital relation. Osman?
Osman Yilmaz: In the beginning of the year, we were expecting about TRY500 million additional free cash flow generation from our consumer finance business. But given the negative impacts of COVID-19 pandemic, we now expect more than TRY700 million free cash flow generation from consumer finance. But part of this additional free cash flow generation will be offset by deteriorating collection performance, mainly in corporate segment.
Ivan Kim: Sorry, just two quick follow-ups. So do you have a ballpark number for the annual free cash flow you expect right now, or you can share that?
Osman Yilmaz: Actually, we prefer not to give a precise number for free cash flow generation, but you can roughly say 20% of the EBITDA, nominal EBITDA -- 25% of the nominal EBITDA can be expected as our free cash flow generated before this year.
Ivan Kim: Great. Thank you.
Operator: The next question is from the line of Drouet Herve with HSBC. Please go ahead.
Herve Drouet: Yes. Good afternoon. Two question as well on my side. Firstly, in terms of date for the AGM, do you have a date for the AGM? And do you believe there could be -- what is your view on the potential payouts on earnings that you may gave to shareholders? And the second question is, did you see in the beginning of Q2 an impact in terms of bad debt increasing, especially as well as you unwind the portfolio -- your loan portfolio on consumer financing? Do you see an increased portion of difficulties of payment from some of your consumers? Thank you.
Murat Erkan: Okay, Herve. Thank you very much. For the General Assembly, along with many other listed companies, we are on hold regarding a call for General Assembly. Please also note that our government introduced 25% cap on dividends, which will be effective till end of September. So this is one side. Also this cap overrides our official dividend policy of distribution, minimum 50% of distribution net income. Yet in practice, any present company would wait and see the normalization of this crisis before the dividend decision. At Turkcell, we also believe that it will be reasonable to wait until the removal of this cap, hopefully with this normalization of the condition and removal of this cap, our Board can make a dividend proposal in line with our policy and we can hold our General Assembly in the later months of this year. This is regarding the AGM. For the bad debt, I think, Osman, can response for the bad debt side as well.
Osman Yilmaz: Actually until March we had a very strong collection performance not only in consumer finance business, but also in all business segments. And cost of risk in consumer finance declined from 3.2% to 2.8% despite a contracting portfolio. Inevitably, pandemic will have negative consequences on our collection performance. For example, due to regulatory restrictions, we will not be able to make a legal follow-up for our late payments in consumer finance business. Similarly, banks in Turkey cannot conduct legal follow-up actions for their receivables, and we will not be able to do this until mid June. This will have some negative impact on our cost of risk. We expect cost of risk to rise to 4% to 5% in the coming quarters. It's about 1% higher than our initial assumptions in the beginning of this year. Also, please note that more than 90% of the loans that we granted are insured. And these insurances protect us against unemployment, which is expected to rise rapidly in coming months. So we are partially hedged against macroeconomic downturn.
Herve Drouet: And just a follow-up question on those 90% insured. Does it covered external events such as COVID-19?
Osman Yilmaz: It covers only unemployment. It doesn’t cover natural diseases or pandemic. It is not a health insurance. It's against debt and also …
Murat Erkan: Unemployment.
Osman Yilmaz: .. unemployment, yes. And we are not insuring customers above age 65. So we see very few fatalities throughout the year. Most of the compensation comes from unemployment claims.
Herve Drouet: Okay. I understand. All right. Thank you.
Operator: The next question is from the line of Mandaci Ece with Unlu Securities. Please go ahead.
Mandaci Ece: Hi. Thank you very much for the question. I have three questions. One is about the mobile ARPU growth trend going forward. If I'm not mistaken, you mentioned that the ARPU growth should converge the inflation at some point. So when do you expect such a convergence to happen? As far as I believe that’s in the -- in April, you still have the effect of the up-selling and probably that might be higher ARPU growth, particularly in postpaid segment. And on a standalone basis, we are seeing a slower growth compared to previous quarters. But still there's a transition as you have noted from prepaid to postpaid, which also has an effect in the blended ARPU. So combining all those on how much percentage growth we should expect from ARPU for the second quarter and the third quarter? This is my first question in detail. And the second question is about the corporate segment revenues, which represent like 60% of your total consolidated revenues. We have seen 30% growth in this segment in the first quarter, but you’re seeing slower sales. Should we expect sharp contraction or slight growth or still high teens growth in the segment for the second quarter? How we should make assumptions for that segment, specifically. And thirdly, you highlighted the working capital requirements, an increase in working capital requirements for the whole year, given this SME business. I think it had below [indiscernible] share in your total revenues. Why you considered this effect? Would you still expect an improvement in your net debt over EBITDA ratio or leverage ratio for 2020. Thank you.
Murat Erkan: Okay. Thank you. Thanks for the questions. First of all, let me start on ARPU side and let me give you a little bit broader answer on the ARPU side, because ARPU impact on fixed and also mobile front. On the mobile side, our mobile ARPU rose to 1.5%, driven by large postpaid subscriber base and offset effort on the back of increased data consumption. Inflationary pricing is a key pillar of our business model. Due to contracted nature of our business, our price actions are reflected in ARPU with a lag. Please note that Turkey has been a -- in a declining inflation path since last year and this trend is to be accelerated with the falling commodity prices as well as a drop in demand in various industries as a result of COVID-19 pandemics. Declining inflation, together with our aim to support our customer in these difficult times, puts a limit on pricing. Has it reasonable to expect our ARPU growth to convert to a reasonable range around inflation level in the upcoming quarters.On the fixed side, we registered fiber ARPU growth of 13.4% in Q1. The slowdown in fiber ARPU growth is also a reflection of declining inflationary environment. Please also note that we renew our offering portfolio with the removal of fair uses policy at the beginning of 2019 and increased our pricing. As we have longer term contracts in fixed segment and as the base FX diminish, this also impact our ARPU growth. Regarding corporate revenue side, obviously, we don't expect sharp contraction, but we will see business lockdown because there are, especially in the SME side, the shops are closed, the SMEs are not working at this point of time. So this impact our revenue side. On the other hand, roaming also has a big, big revenue declining position since our corporate customers aren't going abroad and doing business with their abroad companies. So that's why our corporate segments will hit more than the consumer side in this COVID-19. But to be honest, I would expect the corporate business will recover sooner than the other business because the demand is not canceled, it's just postponed. For the working capital side, Osman, will take care of the question.
Osman Yilmaz: Thank you very much. First, let us clearly stated, rather than being rigid on collections with a short sighted vision, we rather believe that we should be providing the flexibility to our customers during these difficult times and we thus we can build stronger bonds with them. In the corporate segment, certain industries and in particular, SMEs, have been directly impacted by the pandemic. We see lower risk for large enterprises and public accounts, but we see risk -- high risk for SME segment.We have been extending the payment terms for several customers in the industries that are directly impacted. At this point, THE number of these requests are limited and insignificant given the total number of clients. Yet if we have a prolonged scenario, we can expect additional deferral on payments. As I try to figure in the previous questions. we don’t expect a significant impact in terms of networking capital requirements. And if this will rip off more than offset by the flexibility in our consumer finance business. There will be additional release from this lockdown in this business and this will more than offset the working capital requirement in SME segment.Final question on net debt to EBITDA. Unless we see a further depreciation in lira, we expect our leverage ratio to remain below 1.0 time throughout this year. And if the currency stays stable at these levels, we will -- potentially we will see lower net debt to EBITDA figures approach into 0.7x.
Operator: Thank you. Ladies and gentlemen, there are no further audio questions at this time. I will now turn the conference over to Mr. Bilek for webcast questions. Thank you.
Korhan Bilek: So we have a list of questions coming from the web. We are going to touch on a couple of them and try to address the rest, that’s one-to-one. Some of them have already been answered. So one is related with the impact of prepaid top up. So what’s the COVID and social, mobility impact on the prepaid top up?
Murat Erkan: Let me take care of this question. The usual online channel has an increased trend in the last couple of months. As people spend more time in their homes, we have seen a decrease in our top up revenue from our stores. Bu since our top up rates has increased significantly through our digital channel. We don't see a negative effect on prepaid top ups in total. So to give you some information, our digital share increased from 6% to 13% in terms of top up.
Korhan Bilek: Thank you, Murat. Thanks. And one last question. Regarding our credit line, how much do you have in committed and uncommitted credit lines?
Osman Yilmaz: Actually, we have utilized almost all of our committed lines, but we are working on additional committed lines and we are planning to announce it very soon. In addition to that, we have US$50 million lift from an ECA facility with [indiscernible] And in the beginning of April, we have utilized TRY50 million from this facility. Moreover, we have around 4.5 billion credit lines from various banks both in Turkey and outside Turkey.
Korhan Bilek: Thank you, Osman. So this brings us to the end of the call. We thank Murat and Osman for their presentations and everyone for their participation.
Murat Erkan: Have a safe and healthy days.
Osman Yilmaz: Thank you. Thank you, all. Bye, bye.